Operator: Thank you for standing by. This is the conference operator. Welcome to the Endeavour Silver Corp. Third Quarter 2022 Financial Results Conference Call. As a reminder, all participants are in a listen-only mode, and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Galina Meleger, Vice President of Investor Relations. Please go ahead.
Galina Meleger: Good morning, everyone, and welcome to today's conference call. Before we get started, I would ask that you view our MD&A for cautionary language regarding forward-looking statements and risk factors pertaining to these statements. Our MD&A and financial statements are available on our website under the Disclosure Portal. With us on the call today is Dan Dickson, Endeavour's Chief Executive Officer; Don Gray; our Chief Operating Officer; and Christine West, our Chief Financial Officer. On behalf of Endeavour Silver, I would like to thank you again for joining our call. And I'll now turn it over to Dan for his formal remarks.
Dan Dickson: Thanks, Glen, and good morning, everyone. Before getting to the quarterly results, I want to take this opportunity to reflect on the sudden passing of our Chairman and Founder, Bradford Cooke this past August. All of us at Endeavour were shocked and very sad and when we learned this tragic news. We've been deeply touched by the outpouring of love and support by the global business community and the many thoughtful messages of condolences. Brad co-founded Endeavor Silver in 2003, and he was a driving force behind its many successes, creating the strong foundations that underpin the Company to this day. He was instrumental in building Endeavor from the ground up into a mid-tier silver producer with an industry-leading growth profile. While his vibrant personality, insight and sense of humor will be deeply missed, we are inspired by its pursuit of creating shareholder value. Collectively, we are now -- we now carry a greater sense of duty to deliver on our objectives and carry forward Brads' legacy. When we had our earnings call three months ago, I spoke about the economic backdrop and market turbulence. Certainly, as an industry, we are facing significant external challenges. Many of the same risks and trends continue to impact equity valuations for miners in Q3, including cost inflation, rising interest rates and lower prices. Both silver and gold reached two-year lows in September. Margins are being squeezed on both sides. While we remain proactive in managing this environment, I remain optimistic about our future, our safe production performance, the strength of our balance sheet that our management team allows us. We remain bullish in our long-term view given the demand fundamentals of silver. While short-term movements in price must be considered and managed, our overall strategic focus remains the same, which means advancing our exceptional growth projects. This quarter, we generated revenue of $40 million, which was impacted by withholding metal sales and lower realized silver prices. Earnings declined by 67% to a loss of $1.5 million or a loss of $0.01 per share. Operating cash flow before working capital changes fell by 4% to $7.3 million or $0.04 per share. We've continued to carry metal and finished goods inventory with a market value of $35 million at quarter end. Given that almost one quarter's worth of metal remains in finished goods, our financial metrics remain muted. Our cash balance decreased from $103 million at the end of Q2 to just under $70 million at the end of Q3. This drop is largely due to the $35 million cash payment for the Pitarrilla acquisition, while mine operating cash flow continues to be invested to prepare the Terronera project for construction. If we were to realize the sale of our carried inventory valued at over $35 million, our cash balance would approach $100 million. Q3 was a quarter with several significant developments and decisions. First off, we had a 10% upward revision to our consolidated production guidance, guiding 7.6 million to 8 million silver equivalent ounces produced in 2022, which marks the second year in a row we've done so. On the exploration front, we released very positive drill results at Guanacevi, including encouraging results extending the permanent dose area. We also released positive results at Pitarrilla, where we see potential for resource expansion to depth and along strike on the beta Colorado structure. Drilling will lead to meaningful resource growth, and we look forward to publishing a resource update early next year. We divested El Compas, where we ceased operation in August of 2021 for $5 million. And as previously noted, we completed the acquisition of the Pitarrilla project from SSR Mining for $70 million in cash and shares. This is a big milestone and a noteworthy addition to our growth pipeline as it's considered one of the world's largest undeveloped silver deposits. And lastly, following Brad's passing, Rex McLennan was appointed our Chairman. I look forward to working closely with Rex to ensure Endeavour continues to create long-term value for all stakeholders, including our shareholders, employees and communities. Operationally, I want to recognize the team at Guanacevi for continuing to lead the way in safe production performance. In September, Guanacevi reached over 2.5 million hours worked without a single lost time injury. We are proud to celebrate this milestone with all our team members. Consolidated silver production for the quarter was about 1.5 million ounces. This is a 12% year-on-year increase and 7% higher quarter-over-quarter. The growth in silver production was primarily driven by the higher grades from the El Curso ore body on a speed as production targets were reached despite lower per ton throughput. Consolidated gold production decreased by 17%, primarily due to the closure of the El Compas operation last August. This quarter, we produced 2.2 million silver equivalent ounces, totaling 6.3 million silver equivalent ounces for the nine months ended September 30, 2022. We are well positioned to meet or exceed the high-end range of our improved production guidance. If we can exceed guidance, it will be the second consecutive year. For the quarter, our cost per ounce metrics have been tracking relatively in line with guidance in the first half of 2022, with cash costs averaging a little over $10 per ounce and all-in sustaining costs averaging a little over $20 per ounce net of the gold credits. The additional production from the exceptional grades have allowed us to maintain our cost guidance on a per ounce metric. But industry-wide inflation continues to be highly relevant. Our direct operating cost per ton has increased 12% year-over-year due to the inflationary pressures across a number of inputs. We are aggressively pursuing cost management initiatives to mitigate these inflationary pressures where possible, while working to ensure that our higher costs will not remain a permanent feature of the business going forward. Guanacevi delivered yet again another stellar quarter. As compared to Q3 2021, silver production was up 13%, with silver grade being 21% higher. This more than offset the 7% decrease in tons during the quarter. Similarly, higher gold grades were offset by the lower throughput delivering flat fuel production. The improved grades from the El Compas area, which is subject to a royalty that is based on silver prices and contributes about 2/3 of our mine output is a primary factor. Grades from El Curso have slightly exceeded model estimates to date. At Bolañitos, production results are largely in line with expectations, and we are on track to meet our annual target of 2.4 million ounces silver equivalent. While gold grades were below target, silver grades were up 36% year-over-year. Mine development continues to be important for Bolañitos, which pushed our all-in sustaining costs of $48 per ounce in Q3. I would stress that our operating costs were $6.73 per ounce. And while all-in sustaining cost is an important metric management uses, we understand the long-term value of mine development and ultimately expect to recover this investment over a period of time, not in a singular quarter. In Q3, Bolañitos' free cash flow was negative $1.9 million, and that includes our capital and exploration expenditures, which totaled $3.7 million for the quarter. Annually, Bolañitos has generated $1.6 million of free cash flow and an annual operating cash flow of $11.4 million year-to-date. Clearly, improving cash flow at Bolañitos will continue to be an area of focus as we move into 2023. Moving to our growth pipeline. Terronera remains a top priority. It's a transformative asset that will make Endeavour the fastest-growing silver minor close to 100% production growth in two years. It is strategic for the Company for many reasons. One, it is a mine with reserves that supports over 10 years of operations; and two, it's a low-cost mine that will drive significant profitability. As many of you know on this call, we've been working diligently with project lenders to complete a financing package, ahead of a formal construction decision and receipt of amended permits. As part of this, we've completed ESG requirements as laid out by the equator principles with third-party verification. In the meantime, the Board has approved and elected to derisk various aspects of the project in a disciplined manner to minimize risk towards the construction decision. We currently have approved a $41 million budget, of which $29 million has been spent to-date. As we commenced with the procurement of many long lead items, we were fortunate to have secured a number of key contracts before the spike in costs and supply chain issues accelerated. The vast majority of the mobile mining fleet has now been delivered to site. To date, we have received 30 Sandvik and Getman units, including jumbos, bolters, scoops, dump truck screens and other support equipment. Major mail equipment has been ordered. We expect delivery of the SAG mill primary crusher and pebble crushers in the first half of next year. And the team has kicked off earthworks with plant area started preparations on portal number two and start to prepare the area for a permanent camp facility that will culminate 550 personnel. As you can hear, we're working on multiple fronts to advance Terronera and achieved good momentum with predevelopment activities. In the coming months, we look forward to providing an update on the financing. While Terronera is our nearest source of growth, we are completed to -- we also completed the acquisition of the Pitarrilla project in Q3, one of the largest undeveloped silver assets in the world. Pitarrilla has the potential to be a large-scale cornerstone asset. We are nearly complete verifying this historic resource and believe it will add over 500 million ounces of silver to our consolidated mineral resource inventory, effectively tripling our total precious metals resource estimate. Next year, we will turn our attention to extending the underground ramp and developing crosscuts for underground drill pads to drill vertical feeder structures. Fully understanding these structures will be a crucial part of our next steps at Pitarrilla. With this, let's stop here and open up for questions, operator.
Operator: [Operator Instructions] The first question is from Heiko Ihle with HC Wainwright. Please go ahead.
Heiko Ihle: Dan and team, Can you hear me, okay?
Dan Dickson: We're going to hear you well, Heiko.
Heiko Ihle: You mentioned ongoing inflation in your release, not a big secret there, obviously, but I mean, more important than the inflation almost, are there any parts and availability bottlenecks that you're encountering already? And building off of that last question, are you pre-buying any components because you anticipate shortages or you feel like delivery time lines are getting worse? And if so what are they?
Dan Dickson: Yes, it's a very good question. I think we've been insulated from that a little bit because of all the equipment that we've been buying from Sandvik since 2019. So, we replenished our mobile fleet at both Bolañitos and Guanacevi over the last three years. And a lot of the parts that we're getting from Sandvik as critical parts from a mobile fleet standpoint, we haven't had any issue with and ultimately, no disruptions. From a plant standpoint, a lot of our critical spares sit on site, the ones that we've identified. And -- I mean I'm sure there's things time to time that we need to get various parts, but I've not heard of any issues that we've had lately with that. So for us, it hasn't been much of an issue maybe because we've been situated. But I have heard that across the industry a little bit from other groups. It's just -- like I said, it hasn't really impacted us to this date, and we think we're in a really good shape going forward.
Heiko Ihle: Very good. And I apologize for bringing up inflation again. Just a quick clarification there. You're spending $41 million at Terronera this year. Any idea on what you think you'll need for the site in calendar '23? I mean is there any big ticket or long lead time items that aren't there or like in a certain part of the supply chain? And would you be willing to guesstimate maybe the development expenses or just some general expense to the site for next year?
Dan Dickson: Yes. I can't give overly clarity on that until we actually have a formal construction decision. I mean, ultimately, right now, build costs for the feasibility study is $175 million. And of course, we've seen inflation since that $175 million. And as I alluded to kind of in my preamble is ultimately, that we've locked in a lot of our costs with the mobile fleet already being there and a lot of the 12 critical parts for our mill being already ordered. And I think we did a good job of that this year to kind of get ahead and walk some of those prices in. We will see cost creep from that $175 million when it's all said and done. We've been trying to optimize that project this year as we we're through kind of the amended permits and trying to get this debt package in place. And ultimately, when we come out with that, we'll probably, at that point, be able to discuss more in detail the total cost to build Terronera, which will be slightly higher. I don't expect significantly higher, but slightly higher, and then give that time line. The time line to build it is still about two years. Hopefully, we can beat that a little bit. And I would guess that the $175 million plus inflation is pretty homogenous over that two-year period. So until we come out with budgets, which will be January of 2023, I'd probably leave it at, Heiko.
Operator: The next question is from [Jasper Vij with Walpole]. Please go ahead.
Unidentified Analyst: Thank you. So can you hear me? The silver and gold grades have been elevated at Guanacevi over the entire year due to higher grade ore from the El Curso ore body, do you expect similar grades moving into 2023? Or do you expect them to come down a little bit?
Dan Dickson: Yes, it's a very good question, Jesper. Thank you. We have seen elevated gold grades from the El Curso ore body. And if you follow this year's drill results from Guanacevi, we've actually put out some really nice results from a width standpoint and from a grade standpoint. And ultimately, we might see that grade come down a little bit, but I think it will be higher than where our reserves at this point going into 2023.
Unidentified Analyst: A follow-up question. As of now, we have roughly 2/3, although we're coming from El Curso, moving into next year, how much do you think that would increase or roughly remain the same in percentage?
Dan Dickson: We expect it to stay relatively the same for next year as well.
Unidentified Analyst: Okay. And the overall trend, if we look three years from now, will it become more dominant? Or do you think it will kind of stay the same?
Dan Dickson: The expectation would be the same. So with the contract that we have with El Compas, which is the Frisco company, we're required to produce about 600 tons per day, and we've been doing a bit better than that, 650 tons per day from El Curso. Based on the reserves and resources and kind of the allocation or the split between our reserves over at Santa Cruz Sur or Milache, the expectation kind of over the next two to three years would be that, that El Curso production remains about 650 tons per day.
Operator: [Operator Instructions] The next question is from Craig Hutchison with TD Securities. Please go ahead.
Craig Hutchison: I was going to ask a similar question with regards to Guanacevi grade, but I think you kind of answered that. But just maybe for Q4 specifically, you guys are trending above the guidance. Is there anything to believe that it wouldn't be very similar to Q3 and Q4?
Dan Dickson: Yes. The only change between Q4 and Q3 will come down to December. And obviously, around Christmas period times, things do slow down a little bit. Sometimes, we see throughput decrease a bit. But I would agree with your observation that if we have a similar quarter in Q4 as we did at Q3, we'll be able to exceed guidance. We're always try to be a little bit conservative and cautious here. And like I said, there's things in December that impact kind of a slowdown a little bit around operations. So -- but if everything goes well, we could exceed guidance two years in a row.
Craig Hutchison: Okay. Great. And then just as the financing for Terronera. I know you mentioned it's still a couple of months out. But any kind of updates on that, what are the final due diligence procedures here? And then maybe a similar question with the amended permits timing around that.
Dan Dickson: Yes. From debt standpoint, I mean, we've gone through a lot of work with regards to ESG and documentation, obviously, the feasibility study, and we've done work around optimizing that feasibility study as well. So getting kind of advisers to the bank's, update kind of narratives and support for any optimizations that we're doing. And ultimately, we see projects, that's relatively the same, like the inflation increase on capital, hopefully, can be offset potentially by increases in throughput or slight level changes into the operations that will offset a little bit of those inflationary costs that we've seen. Hopefully, we can get through some of this stuff by the end of this year, probably into next year a little bit. Things take a little bit of time, and I understand that. But we want to push and get moving on that. As far as the amended permits go, same thing. We've actually submitted a lot of our amended permits that we required. A little bit of work to be done to re-characterize some things that we've got to do internally, but normal core stuff that we expect to get. It's just sometimes things slow down in the government and out of our hands and out of our control. And we're doing our best to be able to push that and make it as easy as possible on the government. We have been getting permits on various products with Guanacevi or Bolañitos movements in permits at Terronera. So, it's nothing has been installed. It's just, I'd say, the slowness of the government. And hopefully, you can get that done, some of it by the end of this year, some of it will go into next year. But I would state from a permit standpoint, we have all the permits to start construction. The amended permits will give us flexibility for operations. Some will need -- because of the time line, some do need some renewals, but those renewals are kind of normal core items as well.
Craig Hutchison: In terms of the permit for, I guess, production or operation, is it around tailings?
Dan Dickson: Maybe what specifically is required? Yes. So, we're mending permits around one of the portals for higher staging area. We're amending permits to get bigger waste dump areas. [Anea] which is archeological department, they're clearing the tailings facility, but that's already been cleared by Conagua and Semarnat. So, like I say, it's generally normal course stuff.
Operator: The next question is from Lucas Pipes with B. Riley Securities.
Unidentified Analyst: This is [Nick Charles] calling in on behalf of Lucas. I think most of my questions have been answered so far, but maybe just one quick one. When you look a little further down the pipeline, which exploration assets could be next? So what kind of looks most promising for maybe to medium-term development?
Dan Dickson: Yes. Thanks Nick. I think that's a very good question. One project we haven't really touched on much, we did put up good results this year is the Parral Project, which is in Chihuahua. We've been working on Parral now. We acquired it in 2016, put out a resource by the end of 2019, which defined about 43 million ounces of silver. Unfortunately, with COVID, we didn't start drilling there again until mid-2021. And since then, we've actually put out really good results with better width and better grades than we've seen. And we're targeting a certain resource number, which is about 60 million, 65 million ounces of silver, and then we're going to put an economic study on it. And I think with the acquisition of Pitarrilla and having Parral, we've got a nice growth pipeline behind Terronera even and then, ultimately, they're totally different scale project. Pitarrilla is obviously one of the world's largest undeveloped silver projects, and we're going to look at that. And kind of with an open mind, but with the idea that perhaps that will be an underground operation as well. And Parral is a bit smaller than what Pitarrilla would be. It's an old historical district. There's old historical workings there. So we actually have development already down to where we're drilling from an exploration standpoint. And with the success that we have with Parral from a drilling standpoint, and if we can continue to have that success, we will put an economic study on Parral, and that could be option B if Pitarrilla takes longer if we need different economics there. So between Terronera, Parral and Pitarrilla, I think we have one of the best growth profiles in the space.
Unidentified Analyst: Great. Great. Well, that's really great to hear. And maybe if I'm not mistaken, just with the proximity of Parral to Guanacevi, do you see any operational synergies there? Or do you see those as kind of two stand-alone projects?
Dan Dickson: May be two stand-alone projects. I mean ultimately, there still needs to be a plant at Parral. And there are plants in that district privately run some old government plans. But just the way that those operations are, I think they're still 3.5, 4 hours apart. There wouldn't be all that much. I mean, of course, spreading across our centralized systems, which for our regional works, our technical advisers, our accounting groups, our legal groups, you get synergies that way, but they would be stand-alone operations when it's all said and done.
Operator: [Operator Instructions] The next question is from Joseph Reagor with ROTH Capital Partners.
Joseph Reagor: So on Terronera, theoretically, sometime early next year, you guys make an official construction decision. I know you can't officially say that, but, theoretically, let's assume you did, what would be the expected time line to production from a construction decision given you guys have done some work already, like I'm assuming it's changed a little bit from maybe the PFS?
Dan Dickson: Yes. Ultimately, the feasibility study had a two-year time line to build. Because of what we've been doing in all the early works that we do, and hopefully from when we announce a construction decision, it would be shorter than that two years, but I'm not willing to kind of put it out there until we actually have that construction decision in that time line.
Joseph Reagor: Okay. And could you quantify like how much time you've taken off so far? Or is that something you'd rather wait on.
Dan Dickson: It's a roundabout way to ask the same questions. But ultimately, I think we could be under the two years.
Joseph Reagor: Okay. Fair enough. And then Bolañitos, kind of looking at what the resource was at the beginning of the year, what your -- how many tons you've taken out of it this year, it would -- unless you've added significant amount, which I guess we'll find out the year-end resource update. But would you expect this -- that mine to start winding down towards the end of next year or the year after? And then when it does wind down, would the expectation be to do something similar to sell it off like you did El Cubo? Or would you repurpose some of the equipment from there to one of your other projects?
Dan Dickson: Yes. I mean, I'll be able to answer that in the way that at Bolañitos, we do have, like you say, two kind of years of reserves based off the reserves and resources last year. And we've been drilling there this year, and we've been adding some resources, and we'll get that out when we put out new reserves and resources, it would actually be in January as opposed to the end of this year. And Bolañitos, we've been there for 15 years. We've never had more than two to three years of reserves. There are times, and especially where we're seeing today where prices are and maybe yesterday would be a better example. It makes it look like Bolañitos is probably coming closer to the end. But with taken into account the resources as well, so our indicated resources and our inferred resources, I'm hoping we can get past 2024 and into 2025, and we still have a lot of exploration potential there, areas that we can go drill. It's not necessarily we'll find big large structures that gives us 10 years. But if we can keep on incrementally adding another year or two years, it can keep pushing forward. So the idea, hopefully, is that we end up being at Bolañitos kind of three, four, five more years. And at the end of that life and when it does happen, it will look at all alternatives, whether that's selling the asset or dismantling and moving parts of it, but we consider what we have else to move. But I'm not -- wouldn't be giving up on Bolañitos yet. I think there's also ability to acquire concessions in that area as well. That will help extend mine life. So, there's lots of time and lots of optionality to left at Bolañitos.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Dan Dickson for any closing remarks.
Dan Dickson: Thanks, operator. Again, I'd like to thank our operating team at Guanacevi with the successful safe production quarter, again, reaching 2.5 million ounces of man hours without LTI. And I think that's a very important thing. And ultimately, we're an interesting period. We'll see where silver and gold prices go, and I think it's important to note that our management's job is to manage through these periods, but the long-term outlook with Pitarrilla, Parral and Terronera, I think the Company set up to do very well over the next handful of years. Thank you everyone.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.